Operator: Good morning and welcome to the GCM Mining Corp. First Quarter 2022 Results Webcast. My name is Brandon and I’ll be your operator for today.  As a reminder, this conference is being recorded. I will now turn the call over to Mike Davies. Mike, you may begin.
Mike Davies: Great. Thanks, Brandon. And good morning. And thank you for joining us this morning for our first quarter 2022 results webcast. Joining me on the call this morning is our CEO, Lombardo Paredes and as is customary I’ll first go through our prepared remarks regarding the first quarter and then Lombardo will join in through the Q&A session. Before, we begin let me remind you of our cautionary statement regarding forward-looking statements that may be made by us in this morning’s webcast. Last night we released our first quarter results. The financial markets have been very volatile so far in 2022 and this past week has been no exception. In times like this we find our best course of action is to focus on what we can control. Our cash, our cost and our execution. We are pleased with our first quarter 2022 results which highlight our commitment to stay focused and what we can control. Production, cost, adjusted EBITDA, earnings and cash flow results  expectations in the first quarter of 2022. From a capital structure perspective, we have used our normal course issuer bid over the first four months of 2022 to repurchase and cancel approximately 400,000 shares keeping us at 98 million shares issued note standing at the present time. At current market prices, we expect to be active starting again next week using our normal course issuer bid to purchase additional shares for cancellation once the quarter end blackout is lifted on Monday. We maintained our dividend policy through the first quarter of 2022, continuing to pay C$1.05 per share on a monthly basis. This resulted in total dividends paid of US$3.5 million from our free cash flow in the first quarter. Since we implemented our dividend policy in the second half of 2020, we have paid out total dividends to our shareholders now of US$17.5 million and our next monthly dividend will be paid on Monday. In mid-April, we pre released our first quarter 2022 production of 50,000 ounces of gold from Segovia. Last night we announced another solid month in April, in which we processed an average of 1693  tonnes per day at a head grade of 12.4 grams per tonne, resulting in 18,321 ounces of gold in April. This brings the total gold production for the first four months of 2022 to 68,272 ounces and for our trailing 12-months to a total of 208,130 ounces, up about 1% over the 2021 calendar year. We remain on track to produce between 210,000 and 225,000 ounces of gold Segovia this year. Taking a closer look at our first quarter production, we're seeing a trend that has been taking shape for a couple of years now when you look at our annual reserve and resource updates. El Silencio is continuing at a very steady rate and Sandra K is continuing to take on a more prominent role in contributing to our production. These were the two mines with the largest year-over-year increases in our recent resource update. Providencia is still making a solid contribution. The grades have come down from about 20 grams per tonne in Q1 of 2021 to 15 grams per tonne in Q1 of 2020 to a certain of the super-rich areas with the mining have been depleted. Carla is starting to make a greater contribution to our production this year, and the small scale miners are continuing to perform very well. In the first quarter of 2022, we sold 53,645 ounces of gold, about 3500 more than we produced in the quarter, which represented the production in December 2021 that remained in our yearend inventory as a result of the normal holiday shutdown period at the refinery. With an average realized gold price of $1,860 per ounce our first quarter 2022 revenue was $101.3 million, about 5% higher than the first quarter of 2021 after adjusting from our model. Our revenue in the first quarter did not include anything for the zinc and lead from the concentrate production at our new Polymetallic plant. We expect that this will start toward the end of the second quarter now that we have selected an off-take customer and expect to commence shipments of the Polymetallic concentrates in June. From a cost perspective, our cash cost came in at $817 per ounce in the first quarter, a slight improvement from the first quarter a year ago of $825 an ounce at Segovia, our all-in sustaining costs came in at $1,187 per ounce sold in the first quarter, including $159 per ounce of sustaining CapEx at Segovia largely our on-going exploration of developments that are for producing mines. We had $58 an ounce of ESG expenditures in the first quarter $82 an ounce of G&A and $60 an ounce of costs related to our free trade arbitration proceedings with the Government of Colombia. The Free Trade arbitration costs were significantly higher in the first quarter this year as we filed our last major memorial with the tribunal ahead of hearings scheduled to take place later this year. Decision on this matter could be coming next year. For Q1, our all-in sustaining cost margin was about 36% of our realized gold price compared to 33% for calendar 2021. Our adjusted EBITDA came in at $45.2 million in the first quarter, reflecting the impact of the free trade arbitration claim costs and quarterly results, but not too different from where we were in the first quarter a year ago at $46 million. Our trailing 12-months adjusted EBITDA stood at $170.5 million implying the leverage ratio below two times as expected. And in the first quarter of 2022, our cash flow metrics remain solid, with $24 million of operating cash flow, bringing our trailing 12-month operating cash flow to $91 million, up from $81 million in the calendar 2021 year and our free cash flow after Segovia’s CapEx was almost $11 million in the first quarter more than sufficient to fund our dividends and normal course issuer bid purchases. Our trailing 12-months free cash flow improved to $34 million from $26 million in calendar 2021. Our balance sheet and financial liquidity remained strong in the first quarter. We finished the quarter with $350 million of cash. This after paying $14 million of tax instalments in Colombia and making the first $10 million semi-annual interest payment on the senior notes. Our VAT receivable in Colombia did increase as expected in the first quarter. But we anticipate receipt before the end of the second quarter of the $28 million of refunds from last year's VAT claims and this will cover the income tax instalments that we have coming to in the second quarter of this year. This slide just a reminder of our annual reserve and resource update we announced for Segovia in late March. We had a very successful drilling campaign last year. And we've continued a similar emphasis in the first quarter of 2022 with over 8700 meters drilled by our exploration team, principally El Silencio and Sandra K, and another 6500 meters in our Brownfield program focused on Cristales, Marmajito, Manzanillo and Vera. Our mine geology team has also continued to be active with underground drilling programs that El Silencio and Sandra K and we expect to have results updating on these drilling programs later this quarter. We have three important infrastructure projects on the go at Segovia. Our expansion of the Maria Dama plant to 2000 tonnes per day is progressing well and should be completed in the second quarter as expected. We're continuing with the construction activities in our El ChoCho tailings storage facility, where we use filter press systems and geotubes to dry stack our material in accordance with international best practices. And we're completing some of the upgrades of equipment and systems at the new polymetallic plant to automate certain processes and add warehousing space as we increase our treatment rates towards the 200 tonne per day capacity level in the second half of this year. Lots of exciting investment activity that is truly remarkable in the way it is expanding and upgrading our Segovia operations. Turning to our Toroparu Project in Guyana. Our team is working very diligently to prepare this project to go into formal construction mode once we complete the PFS in the third quarter, and finalizing the mining license midyear. Drilling has continued to infill the resources required for the PFS, and Lombardo and the team are conducting several key processes to select the mine contractor, the power plant contractor and the main civil works contractor while preconstruction activities related to the project site, camp and southern access road are carrying on. We spent $6.7 million in the first quarter of 2022 on these various activities, which was funded by the net proceeds from the senior notes issuance. Lombardo will no doubt provide further details on the tour approved project when we get into the Q&A portion of this webcast. And in this last slide, before we get into the Q&A session, I wanted to highlight a couple of things related to our equity investments. At Aris last night, they announced positive results from their performance optimization initiatives at the Marmato upper mine, and construction activities are underway related to the lower mine expansion. Equally important, they have taken steps to step into the operator role that their latest acquisition, The Soto Norte project in Colombia, one of the world's largest undeveloped gold projects with Tier 1 scale and economics. Exciting times for Aris Gold as it moves forward with its expansion strategy. At Denarius drilling at the Lomero project continues to confirm the historic polymetallic resource and the company is advancing towards an updated mineral resource estimate and a PEA by the third quarter of this year. We continue to see both of these investments as key value drivers for shareholders of GCM mining. And with that Brandon, we can now proceed with the Q&A session.
Operator: Thank you.  And on the line we have Carey MacRury. Please go ahead.
Carey MacRury: Hey good morning, guys. Maybe first, do you see any potential impact on the upcoming election in Colombia on the mining industry?
Lombardo Paredes Arenas: Alright, okay, so let me answer that. But so far the elections in Colombia, it's a tie race between the when the central, the central, right, and the left. The -- we're going to have two rounds, the third around where Petro is going to be the winner and the second round, we strongly believe that Gregory  is going to is going to win, probably with a margin of one no more than 1 million votes. So far, Gustavo Petro the left it, I'd say is that he will forbid exploration and in the oil industry. So the attack has been addressed against the oil industry. And he says thinking that he can replace the revenues coming from the oil industry with the revenues coming from tourist. And to that he's planning to bring 50 million people per year, coming into Colombia for that. In the mining industry, so far we have not been a strong announcing, Trump measure or, or that kind of things. On top of that remember that our title in Colombia is not a concession. It’s a property. We own the land and the underground, on perpetuity. So, more, the majority of the scenes that he can apply in an eventful case to the mining industry -- we're applied to company we have concessions, we don't have concession we have we have property we are all -- have private property on our type. Yes, I think that's but that can that can reflect the situation in Colombia now with the election.
Carey MacRury: Okay, and then just moving on to Toroparu. And I know, we talked a little bit on the last call around, capital, obviously we're seeing capital inflation there any update on the PFS, either in terms of capital or operating costs or any other sort of moving parts?
Lombardo Paredes Arenas: Yes, that PFS remains to be delivered, in July. And that will allow us to have a much better estimate. But I would like to talk a little bit more about that, where our cost estimate for the Toroparu project based on the PEA is $355 million. But remember that our PEA is not a typical PEA. A typical PEA is a document with according with the American Association of  is a class three, class four estimate. So when 90% or believe it to be between to be with plus or minus 30%. In our case, the PEA because that project has been on the table since, well 2001, 2002. That project has a lot of information, much more information than a typical PEA. So our estimate is not a class three estimate. It's more than that. It's close to a class two estimate. Class two estimate is an estimate which is with 90% probability to be within plus or minus 20%. When a strategy that we use in our project is to for example in the PEA estimate, we are supposed to our own mining, we are we are supposed to generate our own electricity. We are going, we are supposed we are supposed to storage and distribute the fuel, but I work with our own resources. We decided to use a mining contractor and we decided to use to half -- B operate power plant and we decided to use BO we own and operate fuel plant which we will storage and the . And in those process for a second – with a mining contractor we are in the final stage to award the contract, we have, we have decided with two contenders out of the four that initially the initial bid was five reduced to four and then reduced to two. And the BO we already have a winner in the contract. With that information in hand, that will that that information will be dumped and that information is quite quite good, because coming from the contractors. That information will be done from the estimate from the $355 million amount of money which is between $66 million and $75 million. So, it's also to gain time, we are not waiting to have the contractor for the engineering procurement construction money for the power plant for the processing plant and rating facility, we are advancing on that. We prepare all the classification for the long lead items. And now we are out in the market for to get quotation from for from the lot for the lonely items. We have a beaders be there from China Europe understate we were saying they with that information in hand we will know the delivery time, is only thing and the cost. And if that is going to have some impact on the product or not or not. The -- for example the contractor for the front end loading engineering for the processing plant is in place is segments an American company doing that also we are taking proposals from segments to do the engineering and procurement for that part of a project. So, at the moment we are going to preview the PFS we are going to have a lot of information which are close to a class one estimate. So, we are confident that we are going to maintain the amount of money that we have in the budget. I’m not going to say that the eruption is to play change or the inflation is not going to pay to have an impact on the project Yes, but it will what is going to be minor. But I can say per second that probably the cost of the project in no case will be over $270 million for example. Okay, that is more or less that is more or less a fraction of what we are doing there and in total.
Operator:  And from Marathon we have Chris Dechiario. Please go ahead. 
Chris Dechiario: Yes, hi. Thanks for the call. Just wondering also on Toroparu, you said, the finalization of the formal mining license was in process completion expected by mid-2022 What are the risks around that and around that getting delayed or for some reason not receiving it at all?
Lombardo Paredes Arenas: Okay, yes, we should meet all the documentation with the government to get the final mining permit. And we are in the process and we are working on that on the bureaucratic procedures and that kind of things. And we are expecting that we will have that for July, but the advantage in our mining permit is that we will not meet that until we are in the stripping phase of the project, which will start in the first quarter 2023 That is a moment when we are going to need to define and mine impairment. So, we have some spare time in case that we have some unexpected delays because for the for the roads, time contraction, internal roads stuck in the civil war related with a tailing with the tailing facility, we will not need the mining plant according we will do generalization. So, we I don't see any risk that we are not going to have our mining permit on time to your two star there. You know they real mining work in the outside.
Chris Dechiario: Right understood Thank you.
Operator: And we have a follow up from Carey MacRury. Please go ahead.
Carey MacRury: I just wanted to follow up on the previous question, but obviously a lot of moving parts in the macro picture, get interest rates supply chain challenges COVID fill in during, is there any scenario where you potentially delay the project and let things calm down on the macro front? Or is it pretty much a go in your mind?
Lombardo Paredes Arenas: I think with the -- with my previous explanation related with the cost. We have enough money to continue with the project because even if the project is going to cost even if the project is going to go 350 or something like that, we have enough money to do that. So we do not foresee any problem, to go ahead with the project.
Carey MacRury: Right, thank you.
Operator: We have no further questions at this time.
Mike Davies: All right, I've got a couple of here from viewers through the webcast. One is probably a bit more color on our G&A expenditure expenses for the quarter and the trajectory going forward. Should we expect it to stay elevated or return closer? As I said my upfront remarks, Q1 was a very unusual quarter. We have been involved in this free trade arbitration with Colombia the last couple of years, and we've typically had around $4 million a year over the last couple of years of expenses related to this matter, as it was moving along with the tribunal. However, this first quarter was a very heavy quarter, probably the most heavy quarter we've had so far and effort from the legal and other advisors. As mentioned making the final submission ahead of the hearings will take place later this year. So the cost was much more elevated in this quarter than any other quarter we've seen. With that Q2 should be much more sedate, Q3 will probably pick up with a little bit higher level of activity of cost again, for that matter, as we get to the preparation, and then the hearings themselves and then again, should die down after that for going forward. So there will be some volatility in G&A. And certainly the first and third quarters this year, I would expect ABS excluding the free trade arbitration costs that our quarterly G&A should be about $4 million to $4.5 million based on our structure and run rates that we're seeing in the business outside of the expenses for the free trade arbitration. Another question that's here, can I confirm guidance for CapEx for 2022? And how much is sustaining and how much we'll spend at Toroparu. As we had outlined in our year end MD&A, we've got sustaining CapEx guidance for Segovia of $50 million to $55 million this year. We were maintaining that guidance. No, no change there. We had also guided up to $10 million of non-sustaining CapEx at Segovia that did include some expenditures on the solar project, which we just announced where we're going to cancel based on some changes in the project scope and costs that are unacceptable to us, we're going to look for a replacement for that project, because we still believe that having a contribution of solar energy in our operations is fundamental to our ESG strategy around climate change. So we'll look for a replacement for that. But at this point, we don't have a full answer on that. As far as Toroparu goes, I mentioned we spend about 7 million this quarter. It'll start to ramp up in the second quarter, probably somewhere in the neighborhood of $15 million in the second quarter, and then the second half of the year. Lombardo, how much do you think we'll spend in the second half of the year based on your work you're doing right now?
Lombardo Paredes Arenas: Yes, in the second half of the year. Yes, saying that we will be a little bit above $70 million.
Mike Davies: $70 million. And some of that will be funded by installments from the Wheaton stream which we are sorting out with Wheaton. And we'll finalize the installment schedule once we deliver the PFS to them in the third quarter. So as Lombardo said, we're fully funded for Toroparu. We’re fully funded, certainly through cash flow and cash on hand for Segovia. So we were very comfortable with our CapEx exploration and development plans that both of our major projects this year. 
Operator: Yes. We do have a question on the phone from Robert . Please go ahead.
Unidentified Analyst: Yes hi Mike. Things look very interesting. I think it's actually pretty good quarter and I've most particularly picked up on the operating cash flow before the taxes except. I thought that was a really great figure. And does that look like it'll be continued with the operations of Segovia into the future?
Mike Davies: Yes, so that's always depending on where gold price is, but certainly the gold price is over $1,800. Our, our cost structure is, I think fairly predictable. The peso is also a little volatile, but certainly in our favor today at 4100 pesos per U.S. dollar. But now I think, as we move forward, the operating cash flow should continue to bode well in the second quarter, as I mentioned, we'll pick up some additional inflow from the VAT and we'll make use that to make further tax installments. But all-in-all, I think, from a cash flow perspective, they should continue to function well for us.
Unidentified Analyst: Well, looks good to me, and good to talk to you again. Thanks.
Mike Davies: Great. Thanks, Robert.
Operator: And we have no further questions at the moment.
Mike Davies: All right. Well, we'd like to thank all of you for taking your time this morning to join us. Obviously, we're available if there's additional questions that come up. Thank you. Sorry. Yes, that's its good. Thank you.
Operator: Thank you, ladies and gentlemen, this concludes today's webcast. Thank you for joining. You may now disconnect.